Operator: Ladies and gentlemen, thank you for standing by, and welcome to the Crocs Inc. third quarter 2020 earnings conference call. At this time, all participants are in a listen-only mode. After the speakers’ presentation, there will be a question-and-answer session. [Operator Instructions]. Please be advised that today's conference is being recorded. [Operator Instructions]. I would now like to hand the call over to your speaker for today, Cori Lin, VP, Corporate Finance. Thank you. Please go ahead.
Cori Lin: Good morning, everyone, and thank you for joining us today for the Crocs third quarter 2020 earnings call. Earlier this morning, we announced our latest quarterly results, and a copy of the press release may be found on our website at crocs.com. We would like to remind you that some of the information provided on this call is forward-looking and accordingly, is subject to the Safe Harbor provisions of the federal securities laws. These statements include, but are not limited to, statements regarding potential impacts to our business related to the COVID-19 pandemic. Crocs is not obligated to update these forward-looking statements to reflect the impact of future events. We caution you that all forward-looking statements are subject to risks and uncertainties described in the Risk Factors section of our Annual Report on Form 10-K.  Accordingly, actual results could differ materially from those described on this call. Please refer to the Crocs Annual Report on Form 10-K, as well as other documents filed with the SEC for more information related to these risk factors. Adjusted gross margin, income from operations, operating margin, and earnings per diluted common share, are non-GAAP measures. A reconciliation of these amounts to their GAAP counterparts is contained in the press release we issued earlier this morning. Joining us today on the call are Andrew Rees, Chief Executive Officer; and Anne Mehlman, Executive Vice President and Chief Financial Officer. Following their prepared remarks, we will open the call for your questions. At this time, I’ll turn the call over to Andrew.
Andrew Rees: Thank you, Cori, and good morning, everyone. As you saw from out release issued this morning, our business achieved record third quarter top and bottom line results. Our extraordinary performance amidst these dynamic and difficult times, demonstrates the strength of our brand and product offering globally, and our ability to deliver sustainable profitable growth. I'm incredibly proud of the results and how the entire Crocs organization has executed against our long-term growth plan, and managed the business through the COVID-19 pandemic. Anne will review our financial results in more detail shortly, but here are a few highlights from the third quarter of 2020. We achieved record third quarter revenues of $362 million, up 16% versus prior year. Our Americas business had an exceptional third quarter, with revenue increasing 26%, and DTC comp growth of 31%. Our EMEA business delivered strong revenue growth of 13%, with double digit revenue growth in both e-commerce and wholesale. Every channel grew revenue, with digital commerce sales increasing 36% to represent 38% of global revenue. Adjusted operating profit was $75 million, an increase of 70%, with margin expansion of 660 basis points. Adjusted diluted earnings per share grew 65%, to a third quarter record of $0.94. Let's first focus on the strength of our brand, which underpins these extraordinary results. The Crocs brand continues to resonate strongly with consumers throughout the world, as a result of our powerful marketing and iconic products. We shared on our last earnings call, that we had an exciting marketing pipeline, and we've seen this come to fruition. In July, we released a Luke Combs collaboration, our first feature in the classics line. In August, fans in Korea queued overnight at stores for our collaboration with KFC, that sold out in 90 seconds. With Chinatown Market, we launched our colorful Grateful Dead Croc, which LeBron James wore around the NBA bubble, creating quite a stir. In September, we released Black Lives Matter Jibbitz Charms. Our brand has always stood for equality and inclusivity, and encourages everyone to come as you are.  We continue to celebrate come as you are, with a special edition glow-in-the-dark Croc, with Puerto Rican star, Bad Bunny. For those of you who may be less familiar with Bad Bunny, he performed in this year’s NFL Super Bowl halftime show, alongside Jennifer Lopez and Shakira. And according to US Billboard, his latest album became the highest charting all-Spanish language album ever. The Crocs with Bad Bunny design, were in very high demand, selling out in minutes. More recently, we kicked off a month-long October celebration, with the launch of our crossover Jibbitz calendar containing 50 unique Jibbitz that count down to Croc Day on October 23. This month was full of Croctober surprises, the most noteworthy being our collaboration with Justin Bieber and his clothing brand, Drew House, which generated an incredible global media buzz. The singer-songwriter designed yellow Jibbitz adorned clocks that sold out quickly around the world. I’m pleased to share that the best-in-class marketing is translating into results. In our own 2020 brand survey, which measures participants' views about the Crocs brand globally, results were up double digits for each of our key metrics, brand desirability, brand relevance, and brand consideration. We have now averaged double digit growth across these same metrics for the past four years.  Another indicator of brand strength is Piper Sandler’s Fall 2020 Taking Stock With Teens Survey, where the Crocs brand remained in the top 10 footwear brands preferred by teens in the US. In summary, our brand has never been stronger, and the brand strength has further increased through the pandemic. I'm confident that the Crocs brand will continued to drive accelerated growth this year and beyond.  Now let’s turn to the third quarter highlights. From a channel perspective, global e-commerce revenue grew by 36%. This represents our 14th consecutive quarter of double digit e-commerce revenue growth. Our digital business, which combines e-commerce and e-tail grew 36%, and represented 38% of our third quarter sales, compared to 32% last year. Digital growth rates tempered a bit from Q2, when much of brick and mortar was closed for an extended period, yet our digital penetration remains high, and this remains a top priority. Over the long-term, we believe our digital presence on both our sites and those of our partners, will allow us to serve our consumers in their preferred channel, and will continue to be a competitive advantage relative to other footwear brands. Our wholesale channel, which includes bricks and mortar, e-tail, and distributors, grew 12% versus prior year, fueled by strong sell-through in e-tail, and our top 20 global brick and mortar accounts. Over the past 18 months, we have been increasingly focused on these top 20 leadership brick and mortar accounts, which are made up of sporting goods, family footwear, and specialty footwear retailers. 10 of these reside in the US. We are pleased to have recently added both Foot Locker and Finish Line, to expand our presence in specialty athletic.  Turning to company-owned retail. Third quarter comp sales increased 16% over 30% last year, driven this year by the Americas and South Korea, which together, account for approximately two thirds of our store base. During the quarter, most of our stores were open, but operating at reduced hours. Both our own retail and that of our bricks and mortar partners, returned to growth in the third quarter, and recovered from the impact of the pandemic much faster than we expected. From a product perspective, our results continue to be driven by our four key product pillars, Clogs, Sandals, Jibbitz, and Visible Comfort technology. Sales of Clogs were particularly strong this quarter, increasing 31% year-over-year, to represent 72% of total footwear revenues versus 62% last year. Earlier in the pandemic, we canceled Sandal receipts. As such, Q3 Sandal revenues declined by 4%, and represented 19% of footwear sales versus 22% last year. Cubit sales continued to be strong, doubling for the quarter versus last year. Looking to next year’s product pipeline, we're very confident in our lineup. 2021 selling has been strong on a global basis. We’re excited by our innovation in Clogs, and our ability to deliver a full season of Sandals, with Classic Slide, Brooklyn and Tulum. We also expect to capture strong interest in our Crocs At Work line, based on our Free Pair for Healthcare program. We are poised to continue significant growth in personalization with Jibbitz Charms.  Finally, profitability was incredibly strong. Our brand strength and lean inventory, led to fewer promotions, which coupled with price increases and product mix, boosted our gross margins. We significantly leveraged SG&A to deliver best-in-class operating margins, and we delivered record third quarter EPS. We’re even more confident now than a year ago about the Crocs brand strength, and our long term growth potential. We're incredibly optimistic about 2021 and our growth trajectory. Our four key product pillars, and our powerful social and digital marketing, are clearly creating exceptional consumer engagement. From a channel and region perspective, our digital-first strategy and our long-term focus on Asia, will deliver our growth for years to come.  Before I turn the call over to Anne, I want to express my gratitude to the entire Crocs organization for the hard work and commitment to delivering best-in-class results. I'm tremendously proud of how they've executed as a team and the results we have delivered for our employees, our customers, and our shareholders. With that, Anne will now review our financial results in more detail.
Anne Mehlman: Thank you, Andrew, and good morning, everyone. I'll begin with a short recap of our third quarter results. For a reconciliation of the non-GAAP amounts mentioned to their equivalent GAAP amounts, please refer to our press release.  Our third quarter results were exceptional, fueled by the Americas and EMEA. We delivered record third quarter revenue, in spite of a global pandemic, and in addition to delivering record third quarter revenue last year. Profitability was outstanding, as we grew gross margins and leveraged SG&A, increasing operating income and operating margin, and generating record third quarter free cash flow generation.  Third quarter revenue came in at $361.7 million, compared to $312.80 million in the third quarter of 2019, a 15.7% increase or 15.9% on a constant currency basis. We sold 16.9 million pairs of shoes, an increase of 6.2% over last year's third quarter. Our average selling price during Q3 increased 8.8% to $21.36, with the increase attributable to fewer promotions and discounts, higher pricing on certain products, and increased sales of charms per shoe. Now, let's review our results by region. As Andrew mentioned earlier, the Americas had another strong quarter, with revenue at $234 million, up 26.4% or 27.3% on a constant currency basis. Retail costs increased 22.3%. Growth was phenomenal in e-commerce and stronger than anticipated in wholesale, led by e-tail and our key brick and mortar partners.  Our performance in the US is the direct result of our commitment to driving relevance with the consumer through great product and innovative marketing. In Asia, Q3 revenues were $67.7 million, down 8.8% from last year’s third quarter. E-commerce growth of 10%, and retail comp growth of 2.8%, were offset by declines in our distributor wholesale revenue and retail closures related to further right-sizing of our fleet. Both South Korea and China performed well. However, our distributors in Southeast Asia, continue to be under significant pressure due to lack of tourism.  EMEA revenues increased 12.6% over last year’s third quarter to $60 million, in spite of inventory constraints that impacted performance early in the quarter. Strong revenue in wholesale and e-commerce, was partially offset by declines in retail. Our EMEA business is benefiting from growing brand heat and our continued focus on digital commerce, which represented almost 60% of EMEA this quarter. Our third quarter adjusted gross margin was 57.4%, up 380 basis points from last year’s 53.6%, driven by changes in product mix, fewer promotions and discounts, and price increases. Our adjusted SG&A fell to 36.6% of revenues versus 39.4% in last year's third quarter. The decrease in adjusted SG&A rate is a result of strong sales growth and operating leverage, even as we made additional brand marketing investments to support future growth in the business. Our third quarter operating income increased 80.7% to $72.1 million, versus $39.9 million last year, and operating margin increased over 700 basis points to 19.9%. Adjusted operating margin increased 660 basis points to 20.8%, as SG&A leverage on strong sales growth, added to the gross margin expansion. For Q3, we recorded $8.2 million of income tax expense, with an effective tax rate of 11.7% versus 6.4% last year. Third quarter non-GAAP adjusted diluted earnings per share, increased 64.9% to $0.94, compared to $0.57 a year ago. With record third quarter free cash flow, our liquidity position is strong, with $123.6 million of cash and cash equivalents, in addition to $364.4 million of borrowing capacity available on our revolver. We did not repurchase any shares during the quarter, and given our strong balance sheet and liquidity, we may opportunistically resume share purchases.  Inventory at September 30, 2020, was $174.1 million, up from $139.8 million in the third quarter last year. We ran lean inventory throughout Q3, with significant receipts later in the quarter and high in transit inventory. We anticipate a strong fourth quarter, and do not expect the same degree of inventory constraints that we saw this past quarter.  Turning to the future, as we have said, we will share our expectations when visibility allows. I would like to share our current outlook for the balance of 2020. Barring significant additional COVID related closures, we expect fourth quarter revenue to grow between 20% and 30%. This will translate to full year 2020 revenue growth of approximately 5% to 7%.  In summary, we delivered incredible third quarter profitability, with exceptional cash flow, further strengthening our balance sheet and positioning ourselves for sustained profitable growth. At this time. I'll turn the call back over to Andrew for his final thoughts. 
Andrew Rees: Thank you, Anne. The Crocs brand has never been stronger, with iconic products, great storytelling, and global distribution. As you can see from our third quarter results, we have great momentum in our business, and we're excited about the future. Operator, please open the call for questions.
Operator: [Operator instructions]. Your first question comes from the line of Jonathan Komp from Baird. Your line is now open. 
Jonathan Komp: Yes. Hi, thank you. I want to start just by asking about the step up or acceleration in the top line growth, both in the third quarter and then continuing into the fourth quarter. If you could give more color on any call-outs or any drivers as we think about the front end of the fourth quarter here on the top line. And then in addition to that, just thinking through the margin implications from the demand surge that you've seen, any specific call-outs that you might provide for the fourth quarter from a margin perspective.
Andrew Rees: Thanks, Jonathan. Why don't I start by just talking a little bit to the top line question, then hand it over to Anne, and she can fill in some details around margin and Q4 expectations. So, really top line, look, we're thrilled. The brand momentum is really playing out very strongly. We - obviously we've got a really strong driver in terms of growth, both in Spanish and dollars from the Americas. Really thrilled with the performance in EMEA.  From a channel perspective, our digital channels are performing very strongly. The marketing we're doing and the collaborations are obviously driving people to those channels with that being super effective. So we really see very strong acceleration in the business. I would say a couple of things. Our channel inventory has been lean until this point. So there's certainly some restocking going on with our wholesale partners. But as we restock those wholesale partners, we also see accelerating sell-through. So we think it's definitely a sustainable and encouraging time.
Anne Mehlman: Yes. So just to expand on what Andrew talked about a little bit. Look, giving a little more detail around Q3, the stronger guidance, we had strong - really strong execution of our wholesale order book, where we saw better sell-through on existing inventory with very little promotion. We also saw continued direct to consumer strength in the Americas, and we were a little bit conservative in Q3, just given the fluidity of the situation. As we go into Q4, as we guided in the prepared remarks, we expect to see growth rates of 20% to 30% in Q4. So, really those accelerating trends of growth continuing into Q4.  From a gross margin standpoint, in Q3 we saw expansion of about 350 basis points. Most of that was due to reduced promotions and product mix, and we really see those dynamics continuing over into Q4. So we should see similar gross margin on an adjusted basis expansion in Q4 year-over-year. And then, I think, just to kind of finish out the P&L, from an SG&A standpoint, we're really pleased about being able to leverage our cost base, which is something we've been able to do successfully for many quarters at this point. We leveraged our cost base almost 300 basis points in Q3, and we expect to see similar leverage effect on our volume in Q4. And then obviously at the top end of the guidance range, we would see additional leverage on top of that.
Jonathan Komp: Okay. That's very helpful. And then maybe thinking forward to next year, just generally, the biggest part of thinking about sustaining the momentum. I know Andrew, you talked about the brand heat accelerating here. You're clearly at a new account, maybe bringing in new customers and some of the collaboration and the heat that's driven. Just, how are you thinking about continuing the success in the next year and any broad stroke commentary you might give?
Andrew Rees: Yes, absolutely. So, while obviously we're not providing specific guidance at this time for next year, I think there's a tremendous amount of uncertainty in front of us with an election a week from today, and obviously COVID-19 continuing through the winter. I would say, we feel extremely confident. We’re confident about the (broad) momentum. We're confident based on the receptivity we've seen to our spring ‘21 selling. we've seen great receptivity from our wholesale accounts in multiple regions. We're confident from a consumer perspective in terms of the breadth and depth of our consumer engagement. So, I think that's probably the best sense and guidance that I can give you in terms of ‘21.
Jonathan Komp: Okay. Excellent. Best of luck. Thank you.
Andrew Rees: Thank you.
Operator: Your next question comes from the line of Erinn Murphy from Piper Sandler. Your line is now open. 
Erinn Murphy: Great. Thanks. Good morning. I guess maybe first to follow up to Jonathan’s question around EBIT margin. I guess, kind of putting some of those pieces together and for the fourth quarter, you would see at least a mid-teen, kind of 15% to 16% for the full year. How do you think about the sustainability of that going forward? Because it seems like a lot of the levers that you have from a product mix perspective, and even regional mix perspective, would continue to benefit that over time. 
Anne Mehlman: Yes. Thanks, Erinn. So, obviously, as Andrew said, we haven’t really guided for 2021. I will say, from an EBIT margin perspective, we do feel good about pieces that are sustainable, which includes drivers of gross margin for Q3 where product mix, fewer discount price in Jibbitz, and we feel good about our ability to maintain those elevated margins, barring changes in currency. So I think we feel pretty good about that and we know that we can drive growth and leverage our cost base.  I would say from a guiding long-term EBIT margin, we are planning on having an investor day towards the end of next year. As you remember, we delayed one out of this year, just given the lack of visibility. So, as long as we have enough visibility, we plan to do that next year, and we'll talk a little bit more about where we see our EBIT margins moving to. 
Erinn Murphy: Okay. Got it. And then a couple more for me. Maybe I'll ask on Justin Bieber's collaboration. I think this is one of the first that you kind of moved around the globe. So you started here in North America. I believe you had an in-store in Korea and China, as well as a drop in Europe. So can you just speak to, I don't know, kind of the magnitude that you saw that move, kind of the overall business would be kind of translated now into the fourth quarter?
Andrew Rees: Yes. We were very pleased with the Justin Bieber collaboration. Obviously, given his global status, his celebrity status around the world, his social media following, it was a really good partnership in terms of being able to activate that around the world. As you said, we activated it online here in the US, online in multiple regions, and in-store in a number of regions as well. I would say, we sold through completely and very rapidly. And I think it was very, very successful in terms of the amount of social engagement and the amount of consumer impressions it generated. So, we were really pleased with that. We don't disclose the size and scale of any particular collaboration, but I can say it’s certainly one of the larger ones we have done.
Erinn Murphy: Got it. Thank you. And then I guess the last question for me is, just into the holiday season, there's been a lot of conversation around kind of elevated shipping costs. And I believe you guys have expanded here, DC. Can you just talk about, A, is that operational yet? And then what are you expecting in terms of just like the shipping costs into the holiday season? Thank you.
Anne Mehlman: Yes. Thanks, Erinn. So as we've seen the growth into this year, particularly in digital, we've actually doubled our e-commerce capacity in the US to support our own e-commerce business. So, as you remember, we've been talking about, we've expanded our Ohio facility in order to accommodate that. So we are actually currently up and running and shipping out of there, and we're really pleased. So we feel really, really good about being able to handle what we think will be a really strong holiday season for us. On the freight side, we're definitely seeing elevated freight rates, both in inbound and outbound. Those are outweighed by obviously a lot of other tailwinds that we have. But we are certainly seeing elevated logistics costs, as well as just kind of logistics delays around the world and around the globe. And we do expect those logistic costs to continue through next year. 
Andrew Rees: Yes. I think the only thing I might add, Erinn, I think from a consumer perspective, the biggest issue is going to be lack of shipping capacity in terms to the consumer. And we do anticipate, and I would say, you can see it's very strong messaging from the major shipping companies, trying to encourage consumers to pull forward their shipping and ordering so that it doesn't all hit those last two weeks of December, where there will be definitely constraints.
Erinn Murphy: Thank you so much and all the best.
Operator: Your next question comes from the line of Sam Poser from Susquehanna. Your line is open.
Sam Poser: Good morning. Thank you for taking my questions. So let me just ask you, Anne, in the fourth quarter, you're anticipating - from an SG&A perspective, I mean, are you anticipating the same kind of dollars that were in Q2, or Q3, excuse me? Or are you looking for a similar rate? I mean, just can you give us some color there, please?
Anne Mehlman: Yes. I think we're looking for a similar rate, so similar ability to leverage year-over-year. So when you think about the fact that we were able to leverage our year-over-year SG&A rate by 300 basis points in Q3, we expect to be able to leverage Q4 by that - around 300 basis points as well. I would say, at the top end of our guidance range, we'll be able to leverage that more, just given the amount of fixed cost that we have in Q4. And then, so that’s kind of how to think about that.
Sam Poser: Okay. Thank you. And then, can you give us some color on - within the revenue guidance, of how you're thinking about it by - in general, by channel and region? Like where do you think the biggest increases are going to come from? 
Anne Mehlman: Sure. 
Andrew Rees: Yes, we can talk to that. So why don't I start and Anne can fill in? So I think we’ll continue to see strongest growth by region in the Americas. We’re seeing strong underlying growth in EMEA, but we do have some comparability to some major distributor shipments that we don't anticipate making in EMEA. So I don't think EMEA will be quite as strong next quarter. And then we're also - we think APAC will continue kind of how it has through the year. So that kind of gives you flavor by region. It's really the Americas. From a channel perspective, we expect DTC to be very strong, both e-com and our store business. We’re seeing strong comps in the Americas, as you see in our release, but also in South Korea. And we also expect our wholesale business to be strong, particularly in Americas, but also in EMEA.
Anne Mehlman: Yes. And I think, just adding on just to that a little bit is, the interesting thing about this Q4 for us, versus other Q4s besides the amount of volume we're going to drive is, we will see - typically Q4 is a very strong DTC quarter for us, which it'll still be this quarter. But we actually think that mix is going to be a little bit more even as we see some demand shift from Q3 to Q4 and us being able to be back in stock with our wholesalers on strong filter in the US. So we should actually see a pretty even quarter from DTC versus wholesale as a percentage.
Sam Poser: Thank you. And then lastly, you’ve talked in prior analyst days and so on, about SG&A targets under 40%. Well, we're well under, and given that you're starting to get the top line growth, how should we think in general about SG&A growth longer term?
Anne Mehlman: Yes. I think obviously, we saw a lot of leverage in SG&A this quarter. We're also at the lowest store count that we've been at. So we're really excited about that. And the stores we have are very productive. We feel really good about our SG&A base and we will - we continue to invest in marketing in the back half of this year. We've invested an additional approximately $7 million that we'll invest in the back half of this year, really to support next year. And we'll continue to make investments that we think are important to our business. I think we will definitely come out with a longer term SG&A rate as part of our investor day next year, as we update our overall EBIT margin thought process.
Sam Poser: Thanks. And then lastly, why should investors not be concerned about sort of the sustainability of Crocs and of the trends that you're seeing? What - can you talk about the evolution of brand management and supply chain management and segmentation management and so on?
Andrew Rees: Yes. So let me start off and say, I do understand why investors are concerned, right, about sustainability. If you look at the history of the company, it has been through, I would say three significant cycles, right. But I would also tell you, I think today, the company and the brand is a very different brand and a very different company. So, if I start with the sort of consumer facing side of the business, I think the breadth of consumer engagement with Clogs, with Sandals, with Jibbitz and Visible Comfort Technology, is very different to how it's been in the past. We have multiple avenues that we - to grow the business.  The sophistication of our marketing and consumer engagement, is completely different to how it's been in the past. I think the effectiveness of our go-to-market and how we manage the marketplace, with both segmentation between accounts allocation that we give particular accounts. And we've announced to our accounts that we will also be moving to (map) pricing here in the US on 140 of our best-selling styles. So I think we're managing the marketplace in collaboration with our wholesalers in a very, very different way than we have in the past. And we're managing our inventory in a very different way than we have in the past.  So I think it's completely different. And I would say also the consumer is different, right? I think while Crocs is certainly not a pandemic play, I think that's also a concern that some investors have. We were seeing this trajectory and this trend before we came into the pandemic. I think the shifting consumer mindset, has only helped the brand. We make a product that is fun. It's value priced. It’s easy on and off. It's easy to claim. There are very - there are a lot of both functional and emotional benefits to our brand. And I think it fits really well with where the global consumer is today. So I think there's many, many reasons to - not to think that the growth that we're seeing is short-lived and all that, if you want to use that word. I think we can substantiate that on multiple avenues.
Anne Mehlman: Yes. And I think even just to give a little bit of color around that from a numbers perspective, if you think about our (unintelligible) sales versus our AFP, our growth has really been very balanced this year. And we're up both in price and in unit and actually for nine months, it's really price that's driving a lot of the increase in revenue. So it's not just we're selling a bunch of units into the market. So, definitely something to think about as far as sustainability.
Sam Poser: Well, thank you. Continued success, and it's great to hear about the map pricing. And I just got - I heard from a client. Can you explain map pricing to everybody? Because I know what it is, but some people may not.
Andrew Rees: We'll leave that to you, Sam. 
Sam Poser: All right. Thank you. 
Operator: Your next question comes from the line of Susan Anderson from B. Riley. Your line is now open. 
Susan Anderson: Good morning. Thanks for taking my question. Nice job on the quarter. I guess just a follow-up on the wholesale channel. I'm kind of curious. It sounds like there's going to be a lot of restocking going on this quarter. So kind of, as we look forward and replenish that restock, I guess, how much of the acceleration and growth in fourth quarter is kind of being driven by the fact that wholesale is so lean right now, versus that growth continuing into next year?
Andrew Rees: Yes. Susan, I would say it's both, right? So - and when I say both, I mean, there is certainly an element of replenishing our wholesale partners whose inventories are too late, right? They're too late and that they're a spotty in terms of site coverage, et cetera. But as we - as our inventories have built through the quarter and we enter a stronger and stronger position and able to refill those partners, what we have also seen is accelerating sell-through. So what that tells us is that the consumer demand is there for those higher inventory levels in our wholesale partners. And we can see that in our own DTC business as well. So it's certainly both. It’s certainly not just a restocking component. There is a piece of that, but there is a piece of also very strong sell-through.
Anne Mehlman: And just to add a little bit more color as well. I do think that is a very US-driven phenomenon. And outside of the US, we definitely see some distributors that normally fell into and Q4 that we're not going to be selling into at this Q4. So there's opportunity for that next year. 
Susan Anderson: Great. That's helpful. And then I guess, over in Asia, so, nice to see the sequential improvement there. Can you maybe give a little bit more color just by channel? It looks like online grew, retail slightly down, and then wholesale was down more. I guess, kind of what's going on with the wholesale channel there? Was that supply constraint, or is it just where the consumer shopping over in Asia, and would you expect that to continue to improve?
Andrew Rees: Yes. No, the best way to think about Asia is actually by region or type of business. So, let me kind of give you some color on that. So the biggest impact that we're seeing in Asia, and I would say Asia in totality is seeing the greatest impact from COVID-19, and probably will have the most sustained impact as it relates to our business, because there are a lack of tourists. There’s a lack of tourists coming to Asia and within Asia. A big part of the Asian business is stimulated by Chinese tourists traveling to all those different markets. So we see that most strongly in our distributor businesses, which are in Southeast Asia. So, think Thailand, Philippines, Indonesia, et cetera, where those distributors are heavily impacted. that's wholesale. And so that's why we see the drag in our wholesale business. If we look at the other countries in Asia, South Korea is our strongest market. It’s performing very well. We're seeing real growth momentum. We’re seeing elevation of wholesale distribution. We're seeing really strong sell-throughs and strong performance in our department store shopping shops, which is a retail sale for us. In Japan, I think that consumer has pulled back during the pandemic. So we're definitely seeing some pullback in Japan.  And from a China perspective, we see good performance on our digital business. We're very much encouraged by the reaction to our new store concepts that we talked about at our last earnings call. But we are concerned about our partner store portfolio. So our partner store portfolios generally are in poorer retail locations, and they have not bounced back as quick as the rest of the economy. And as we look at that, we anticipate that we’ll do further investment and optimization with partner store network in ‘21, before we can get back to wholesale growth in ‘22 within China.
Susan Anderson: Great. That's helpful. And then I guess lastly, really quick on the collabs, while, I guess the collab maybe small as a piece of the revenue, I guess I'm curious if you see a large bump in other products across maybe the Crocs website or retail stores when you do launch like a Justin Bieber collab. I guess, is there any color that you could give around kind of the bigger picture on what these are driving in terms of revenue?
Andrew Rees: So what I would say, what we focused on is, the collaborations driving consumer engagement, right? So they drive consumer engagement. They drive social and digital impressions on a global basis, and on an enormous scale. In addition, the dynamics of the consumer shopping on our website, allows us typically to collect their email addresses and create a relationship with those consumers, which obviously has value beyond the sale of that collaboration and future sales of the brand to those consumers.  So I would say it's the consumer engagement, it's the social and digital activation, and then it's the ability to be able to reach out and market to those discreet consumers on an ongoing basis. And given the portfolio of collaboration and the different types of consumers that we're bringing to the side, that obviously broadens our reach as a brand.
Susan Anderson: Great. That's helpful. Thanks so much. Good luck next quarter. 
Operator: Your next question comes from the Laura Champine from Loop. Your line is now open.
Anne Mehlman: Hi, Laura.
Operator: Laura Champine from Loop.
Laura Champine: Hi guys. Thanks for taking my question this morning. It's really on gross margins. So, appreciate the very strong performance there this quarter and the guide for next. Does - how much of that is just coming from leverage on better sales, and how much is related to lesser promotions, given that strong top line trend?
Anne Mehlman: Yes, it's a great question. Longer term, we do feel like gross margins are sustainable, partly because we're able to leverage our fixed costs on better revenue. I would say for the quarter, we did not totally see that as we have several distributions in our projects in Europe and the US, and a couple other countries underway. The biggest piece of growth margin expansion for the quarter was really fewer discounts and promotional cadence, followed by mix, both with Clogs and Jibbitz. Jibbitz are obviously very high margin, and then the price increases that we took last year. So I would say those were the biggest dynamics driving gross margin for the quarter.
Laura Champine: Great. Thank you. 
Operator: Your next question comes from the line of Mitch Kummetz from Pivotal. Your line is now open.
Mitch Kummetz: Yes. Thanks for taking my questions. I guess I’ve got a few. Let me start on Q4. Could you maybe address your outlook by product category a little bit? I guess I'm particularly interested in the line Clog business. Can you say what percent it was a year ago in the fourth quarter? And are you looking at that business to kind of grow in line with the 20 to 30 that you provided or maybe at a faster rate?
Andrew Rees: Yes, I can talk a little bit to that, Mitch. So, look, in Q4, I think the big drivers from a product category perspective, are going to be both Clogs and Jibbitz. Obviously, we do sell Sandals year-round, but obviously it's a weaker selling period. So, Clogs and Jibbitz are the big drivers on a global basis. In terms of the line business, I would say the line business is trending very, very strongly. In fact, I think we're struggling to keep up with that. We struggled to keep up with it last year, and I would say we grow substantially faster than the overall 20 to 30 guide that we gave. So it's really - it's a very strong part of it.
Mitch Kummetz: Andrew, you mentioned Jibbitz, and I think in your prepared remarks, maybe you or Anne mentioned that that business doubled in the quarter. Can you frame that a little bit for us? I mean, I feel like you've been a bit reluctant in the past to kind of break that out, but can you say kind of what percent of the total that is, and just its impact on margins as it grows at an outpaced rate?
Anne Mehlman: Yes. Hi, Mitch. I think we did say doubled and we're really pleased with that. And remember, the reason we love Jibbitz, besides their high margin, is they really can create really good consumer engagement, and they sell fast. And we feel great about the fact that that business is so important because it's our unique way to really do personalization in a way that resonates with the consumer, and then also really is accretive to our margins. The best place to see that is we have started including it in our ASPs as we think it's an add-on to our Clogs purchase. And so you can see that it is driving ASPs, and therefore flowing through to margin.  I think we continue to see that business and we will continue to see it accelerate. In Croctober, we sold a calendar with 50 Jibbitz, and those sold through really well. And also, as we talked about with collaborations, they all feature Jibbitz, and that's a really good way to showcase the Jibbitz.
Mitch Kummetz: Got it. And then last question just on 2021. I recognize that visibility is limited, especially because of COVID. But as I'm kind of looking at my model, last year, or I shouldn't say last year, first half of 2020, I think sales were down 6%, if my math is correct. And I would guess that your initial plan was that sales would have been up double digits had it not been for COVID. And I'm just kind of curious how you think about your ability to kind of re recover what you lost, especially as you have visibility into your spring order book, which would imagine is probably pretty strong.
Andrew Rees: Yes. I mean, I think, look, we're up against a weak first half from this year, absolutely. So I think we're pretty confident that we will recover, obviously, the business that was lost because stores were closed in February, and continue to grow. So we think the first half will be much stronger than the second half. But I think at this stage, we're not anxious to say more than that. We do understand that everybody's looking for that perspective. Our intent is to attend the ICR Conference in January, where I think we'll be in a good position to give everybody more information and more perspective on 2021.
Anne Mehlman: And one quick reminder about what we guided coming into the year before COVID hit us pretty early because of Asia, so we did guide 12% to 14% revenue growth before - pre-pandemic. And I will say that we feel really good that we would have hit those numbers had there not been the COVID-19 outbreak.
Mitch Kummetz: Great. Thanks and good luck.
Operator: [Operator instructions]. Your next question comes from line of August Truesdale from Stifel. Your line is now open.
Anne Mehlman: Good morning. 
Andrew Rees: August, you might be on mute.
Jim Duffy: This is Jim. Can you hear me? 
Anne Mehlman: Hey, Jim. 
Andrew Rees: Yes, Jim.
Jim Duffy: I’m not sure how I ended up dialing in under my associate. Well, great. Terrific momentum, guys. And Andrew, thank you for the market specific commentary on the Asia-Pacific region. I know a turn in China has been a strategic priority for the management team. Can you talk about the brand indicators you're seeing in China, and maybe speak more about the path to acceleration in the China business? How big is that real drag from the realignment of the department door footprints? And then in the Asia-Pacific business, how big is the distributor business as a percent of APAC revenues? Thanks.
Andrew Rees: Okay. So, China and then distributors. So, I would say, underlying brand indicators in China are improving, right? So we're definitely encouraged by that. If you look at 2020, obviously our investment plans and our strategy relating to China, was heavily interrupted by COVID-19. But we did collaborate and work with Yang Mi earlier on in the year. She’s a major celebrity in China, including doing a collaboration with. That was well-received and we're seeing great, I would say, digital and social engagement.  More recently, as Erinn highlighted, Bieber was a global relief and that also resonated very well in China. So we are seeing brand indicators from our brand study improve nicely. We are seeing good trajectory on our digital business. So we feel confident about our future and I would say it remains our number one priority. We think ultimately the China market should be our number two market on a global basis (after) the US. The drag from the distributor realignment, we don't think is substantial relative to this year because frankly, they've not taken a lot of product this year. So we don’t think there is a strong drag and it’s the perfect opportunity to make those investments and execute that realignment.  Then moving to the second piece of your question, which is distributors. We don't break that out, but it's substantial, right? Those distributors in Southeast Asia, those are not small economies when you think of China and Philippines, Indonesia, huge amounts of people. I mean, now have got close to a billion people, and those are relatively big businesses. And so that's been a big drag this year. We do not expect them to rebound early next year, just to be very clear, right? They are very much dependent on tourist travel, and people are just not in a position to travel yet. So we don't think that will be - we think it will be late next year or potentially into ‘22 before they start to rebound.
Anne Mehlman: Yes. And then just wholesale was - in 2019, which is a more normalized year, was 60% of our overall Asia business. So if you look at the decline this year versus last year, a lot of that is the distributor business. So, you can kind of get to the magnitude there.
Jim Duffy: Got it. Thanks. That's helpful. And can you talk more about the rollouts of Foot Locker and Finish Line? How many doors are you in now? What’s kind of the glide path to broader rollout? That'd be helpful. Thanks.
Andrew Rees: Yes. I’d probably just give a little color on that. I don’t want to get into that in too much detail. But Finish Line, we're in a - I would say a good proportion of their stores today, with an early assortment. We definitely performed really well on their website, and they participated with us in the release of the Bad Bunny collaboration, which I think was a record day for their website. So in terms of traffic, Foot Locker is just getting started in terms of - and that's really - to be clear, that’s across multiple of their fascias, not just the Foot Locker fascia, and also a number of their different sites. So that's getting started here in the fourth quarter and will accelerate in ’21.
Jim Duffy: Thank you very much. 
Operator: Your next question comes from the line of Jay Sole from UBS. Your line is now open.
Mauricio Serna: Good morning. This is a Mauricio Serna on behalf of Jay Sole. I just wanted to ask about the retail stores. I mean, they've been performing quite well in the comp sales. So just wanted to think, how does that balance with your comment that you're kind of like focusing on keeping the most efficient stores. Should we see that further store closures going forward, or are we reaching more like - have we reached like this balance in the stock down?
Andrew Rees: So, look, I think the first thing to say is, particularly here in the US, but also in South Korea, which is about two thirds of our store base today, we saw really great comps in the US, not quite so strong as South Korea, but definitely good. And bear in mind, those stores are operating on pretty significant reduced hours. And I would say, kudos to store associates who are working really, really hard in difficult conditions to service our consumers. And as you go to many of the malls in which we’re operating, you frequently see a line outside our store, because we're very strict about the number of people that we allow into the store at any given time, to protect our store associates and also to protect our consumers. So, that gives you also an indication of the strength of demand for the brand. In terms of the store portfolio and the fleet, look, we'll continue to, I would say, prune that. I think we've closed, frankly, most of the poor performing or unprofitable stores, with the exception of probably one or two around the globe. The remaining stores are highly productive, but we do not anticipate or do not intend to open a significant number of stores. We just don't think that's the right growth path flow for our brand. It’s not the most effective and profitable way to grow the brand. We’ll be growing the brand through our digital business and through our wholesale business.
Anne Mehlman: Yes. So we closed out 16 stores this year. And we expect - yes, our fleet, I would say, is relatively stable. We have talked about in prior calls that there actually maybe a few more outlets we would want to open, especially in the Asia region.
Mauricio Serna: Great. That's very helpful. And then just lastly on the pricing, I mean, just wanted to check with you, how often do you usually increase prices? And just, particularly given like the very strong momentum, do you see opportunity just like maybe do a little bit more price increases in the short term?
Andrew Rees: Yes, we price to market. So we evaluate all of our products in all of the markets in which we go to market. So we're very focused on pricing the market and looking for - making sure that we're giving our consumers incredible value. We think that's a very important part of the brand, especially in an environment where the consumer, I think, is generally under pressure. But also to make sure that we're capturing the right value for the brand that we think we deserve and will enable us to invest in the brand in the future.  I would say, we've made some fairly assertive moves in pricing over the last two to three years, and that is not all at once. It's sort of cadenced in different regions at different times. I don't think we see such significant movements in the future, but we will continue to evaluate products in the local market on an ongoing basis.
Mauricio Serna: Great. Thank you. And just one very last one, if I may. Just on the buybacks, and you mentioned in the press release that you may, I guess, like depending on situation, consider doing - resuming the buybacks. Just wanted to ask around - if that were to happen, how, I guess, like the pace at which would you like return to the historical amount of buyback that you had been doing to - in previous years?
Anne Mehlman: Yes. I think one of the most important pieces of our performance this quarter, was really showing - showcasing our strong balance sheet, and that we generated record free cash flow. So I think we used a lot of our cash flow to pay down the revolver, which we have $365 million drawn. We have $140 million of cash. So we have plenty of capacity. Obviously our business operations are very capital efficient, and we expect to generate free cash flow going forward, while we prioritize the growth of the business first. And then we'll look for other ways to deploy that capital and provide the best returns to our shareholders. And we obviously have over $500 million left on our authorization, I think, for buybacks. So we have plenty of - worth of authorized capacity to do that as well.
Mauricio Serna: Great. Thanks a lot, and congratulations on the results. 
Operator: Your next question comes from the line of Jim Chartier from Monness, Crespi & Hardt. Your line is now open.
Jim Chartier: Good morning. Thanks for taking my question. I just want to talk about the - follow up on the new distribution. What do you do from a product segmentation standpoint to manage the different channels? And then any product categories or styles that you might - you think you might sell better in the athletic specialty channel? And then, do those doors help you reach that younger, I think you called it the explorer customer? Thanks.
Andrew Rees: Yes. So let me address the last piece first. I think the assortment for athletic specialty will certainly start with Clogs. And yes, it does help us reach a slightly different consumer. Think of the key customers and reach our consumer, but it gives us more critical mass in terms of reaching a younger consumer, teen customer, both urban and suburban. So I think that's important. In terms of segmentation and allocation, really what we're looking to do is to provide a point of difference for our major retailers. Obviously, they all want to carry the best-selling colors and the best products, which is really a concept club here in North America today. And this is really mainly a North America conversation, but it is important in other markets as well. But they also want a point difference. So we'll use energy packs. we'll use exclusives. We'll also do some special makeups for different retailers so that their overall assortment is differentiated. They get the volume, but they also get differentiation. So that's kind of really the approach.
Jim Chartier: Great. Thanks, and best of luck. 
Operator: Your next question comes from the line of Sam Poser from Susquehanna. Your line is now open. 
Sam Poser: Just two follow ups. Number one, on the - just to confirm, with the big collaboration such as Justin Bieber, you're bringing more people to the brand, and then you're selling more Jibbitz because people are trying to, let's say for instance, personalize their - your yellow Clog to look like the Justin Bieber Clog.
Andrew Rees: I wouldn't say that exactly. So we’re certainly bringing more people to the brand. So we look at sort of Bad Bunny and Justin Bieber, two very, very different populations, they both brought enormous numbers of people to our website and to the brand, and gave us the ability to talk to them on an ongoing basis. In terms of people trying to mimic the product by buying Jibbitz and adding them to maybe an inline product, I don't think we really see that, to be frank. What people want is to call our product because of the exclusive nature that it has, versus trying to sort of imitate, if you like. I would say our store associates are super creative in terms of enabling consumers to do fun things in store, but that's more about expressing their own point of view and their own thoughts about it.
Sam Poser: Thank you. And then lastly, you said how you're creating this in the last question about segmenting and creating a point of difference within your top retailers. Just in a sense, I mean, your - I mean, could you just say that everything you're doing now, especially now that you have map and everything else, is getting down to personalization and really - and to an individual consumer or to individual retailers or channels of distribution? Is that sort of the long-term objective here?
Andrew Rees: Yes, I would say that that's a pretty good summary. Yes, I think we want to enable our consumers to be able to personalize their product, and obviously Jibbitz is a unique way to do that. And I think the really compelling aspect of it is it can constantly change and it's instantaneous, right? Many other brands offer personalization opportunity, but you're be waiting six, seven, eight weeks for that product to arrive. Our personalization allows you to do it at the point of purchase immediately for, I would say, a good value. And then if you bought it four weeks later, whatever period of time later, come back and redo it. So it's an incredibly versatile sense of personalization. From the retail - from the customer point of view, we're also trying to get more and more, I would say, customized for them as well. Absolutely. And I think one thing I would point out, our brand heat and our differentiation that we're really working hard to provide to our customers, actually yields at about a 15% increase in our out-the-door pricing in the North American market the last quarter. So, it's definitely having an impact in terms of riding out the doors.
Sam Poser: Thanks again. Continue the success.
Operator: There are no further questions at this time. I will turn the call back over to the presenters. 
Andrew Rees: Thank you. Just a big thank you to everybody for their ongoing interest in the company, and we look forward to talking to you next quarter.
Operator: Ladies and gentlemen, this concludes today's conference call. Thank you for participating. You may now disconnect.